Operator: Greetings. And welcome to the Columbus McKinnon Corporation Second Quarter Fiscal Year 2023 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference may be recorded. It is now my pleasure to introduce your host, Ms. Deborah Pawlowski. Please proceed.
Deborah Pawlowski: Thank you, Latonia, and good morning, everyone. We certainly appreciate your time today and your interest in Columbus McKinnon. Joining me on the call are David Wilson, our President and CEO; and Greg Rustowicz, our Chief Financial Officer. You should have a copy of the second quarter fiscal 2023 financial results, which we released this morning, and if not, you can access the release as well as the slides that will accompany our conversation today on our website at columbusmckinnon.com. After our formal presentation, we will open the line for Q&A. So if you will turn to slide two in the deck, I will review the safe harbor statement. You should be aware that we may make some forward-looking statements during the formal discussions, as well as during the Q&A session. These statements apply to future events that are subject to risks and uncertainties, as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties and other factors are provided in the earnings release, as well as with other documents filed by the company with the Securities and Exchange Commission. You can find those documents on our website or at sec.gov. During today’s call, we will also discuss some non-GAAP financial measures. We believe these will be useful in evaluating our performance. However, you should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliation of non-GAAP measures with comparable GAAP measures in the tables that accompany today’s release and slides. So, with that, please advance to slide three and I will turn the call over to David to begin. David?
David Wilson: Thank you, Deb, and good morning, everyone. Our second quarter results demonstrate the success of our efforts to drive growth, strengthen earnings power and generate cash. On a constant currency basis, revenue of $232 million was up 8.5% year-over-year, driven by strong pricing power and the contribution of Garvey, our conveying solutions bolt-on acquisition. Notably, we had record operating income in the first quarter or in the second quarter, driven by nearly 40% operating leverage, reflecting the early benefits of our regional realignment. As a result, even as we face headwinds, we reported record adjusted EBITDA margin of 16.8% in the quarter, which is another solid proof point of progress toward our longer term financial objectives. We also effectively converted earnings into cash in the quarter as cash from operations was $17.3 million and we use that to further reduce debt. As I mentioned last quarter, our new structure is creating an environment of improved collaboration across product teams within the Americas, EMEA and APAC. We are seeing some early signs of success on this front. One example is a project where we were awarded a crane system that was sold in conjunction with a major rail project. Our integrated sales team was able to readily recognize this opportunity and capture the order, whereas under our prior structure, we would not have had this visibility. I also believe we are now able to move more quickly with improvements in our customer engagement practices. We recently completed our first enterprise-wide customer Net Promoter Score or NPS survey and are advancing initiatives to improve the quality, consistency and rigor of our customer performance and communications. I will speak more to orders and backlog later in this presentation, but we will know here that we are encouraged with the strength of quotation levels even as orders declined in the period. Order activity ahead of our June price increase and extended customer project execution cycles were the drivers of this sequential decline. We expect to see continued opportunities within our target markets, driven by megatrends of automation and digitization, energy and environmental infrastructure investments and the regionalization of manufacturing. Slide four provides a dashboard that highlights the progress we are making in relation to key strategic objectives as we strive to achieve our financial targets for fiscal 2027. As you know, we are unlocking the potential of Columbus McKinnon through the execution of CMBS and our core growth framework. CMBS underpins our strategic framework by providing the playbook for standard work and scalable processes with an emphasis on being market led, customer-centric and operationally excellent. Within CMBS, our 10 core competency areas where we are working to accel and that will enable scalable, sustainable performance as we deliver on our plan. The advances we are making toward achieving $1.5 billion in revenue and 21% EBITDA margin by fiscal 2027 are our proof points and there are several initiatives that underpin these results. I think it’s important for us to share a summary of the progress we are making in relation to a selection of these objectives. Our recent regional reorganization is enabling us to better leverage our intelligent motion solutions across customers, industries and geographies, and is improving our global market position. We drove 7.5% year-to-date growth on a constant currency basis as we focused on areas where we can capture growth through cycles. You will recall from our Investor Day that we are targeting a 5% CAGR for our organic business and with acquisitions a 10% CAGR over the strategic planning period. We are also executing to improve the vitality and customer relevance of our product portfolio. A specific KPI we monitor to measure progress in this area is our NPD N-3 revenue. This is a percentage of revenue that is driven by new products introduced within the last three years, net of any cannibalization that can occur from new product introductions. We have practically doubled this metric as a percent of sales since fiscal 2019 and has grown more than 5 times since fiscal 2017. Not all is perfect however, the complexity of our previous organizational structure and product portfolio, combined with persisting supply chain delays has resulted in delivery and communications challenges that have negatively impacted our customer’s experience. As I stated earlier, we recently completed our first enterprise-wide customer Net Promoter Score or NPS survey and we are advancing initiatives that will improve our company’s responsiveness, delivery and communications with our customers. Shifting to bottomline measures, we are expanding margins and we are driving cash generation. Gross margin improved to 36.5% on a trailing 12-month basis, a new 12-month record for the company. Our business realignment actions are both reducing the complexity of our enterprise while also improving our cost structure. This program is simplifying our go-to-market approach and takes out approximately $6.8 million of cost on an annualized basis with a little under a year payback. As I already mentioned, we reported record operating income and adjusted EBITDA margin in the quarter. We are delivering on our transformation strategy and are pleased with the progress we are making. Looking to slide five, you can see the specific progress we are making on gross margin. To achieve our fiscal 2027 goals, we will need to approach the 40% gross margin level. For the first half of fiscal 2023, gross margin was 37.4% and we are narrowing that gap to 40%. If you review our Investor Day deck from June, you will find the bridges that provide the details on how we expect to achieve our goals. Execution requires a combination of volume, strategic pricing, simplification of our product lines, reduction in overhead costs and well-timed acquisitions that are accretive to margin. Slide six depicts the transformation that Columbus McKinnon is undergoing. We are striving to be the global leader in intelligent motion solutions for material handling, leveraging our technologies in areas that are benefiting from the persistent trends of automation, productivity and supply chain regionalization. Within this opportunity set, while all of our businesses will continue to grow, we believe our specialty conveying linear motion and automation solutions will grow at the fastest rates. This is expected to result in a mix shift over time to our higher margin businesses that are serving less cyclical markets such as life sciences and food and beverage. Our disciplined and thoughtful acquisition strategy is also focused on the faster growing product categories. In fact, the benefit of adding our specialty conveying platform was clearly demonstrated this quarter. Our strategic move to acquire Dorner enabled us to acquire Garvey in December of last year, and this quarter, Garvey contributed $9 million in revenue at 50% gross margin rates. This was driven by a project for the EV market that was specific to the management and flow battery cells in the customer’s production process. While we have generally been benefiting from the expansion of production lines for electric vehicles, this precision conveyance application is more specific to the underlying growth in the electric vehicle battery production. The specialty conveying platform has been a game changer for Columbus McKinnon and is central to our transformation. With that, let me turn it over to Greg to review the financials in greater detail.
Greg Rustowicz: Thank you, David. Good morning, everyone. On slide seven, net sales in the second quarter were $231.7 million, up 8.5% from the prior year period on a constant currency basis and within the guidance we provided last quarter. Delayed shipments resulting from supply chain challenges continued at a similar pace to last quarter and impacted sales by approximately $20 million -- $26 million in the second quarter. Looking at our sales bridge, pricing was a major driver of our growth, up $11 million or 4.9%. This amount was up 40 basis points from our Q1 level. Our specialty conveying platform continues to deliver strong performance, with the Garvey acquisition providing $9 million of growth. Overall volume declined slightly by 0.4% or $900,000, which was largely the result of material shortages that I previously mentioned. Foreign currency translation reduced sales by $11 million or 4.9% of sales. Let me provide a little color on sales by region. For the second quarter, the 6.9% growth we saw in the U.S. was driven by a 5.8% improvement in pricing. As you are aware, we increased prices in both March and June this year. Acquired revenue added 4.5% growth. This more than offset a 3.4% decline in sales volume. Outside of the U.S., sales grew 7.5%, excluding FX and the acquisition. Pricing improved by 3.7% and sales volume increased by 3.8%. We were encouraged with the volume increases we saw, which were approximately 1% each in Europe and Canada and 36% in Latin America. The growth in Latin America reflects the region’s lagging post-pandemic recovery, as well as specific growth initiatives that are showing traction. APAC volume was flat due to the various lockdowns that have occurred in that region of the world. On slide eight, gross margin of 37.2% was up 90 basis points from the prior year. On an adjusted basis, gross margin was higher by 50 basis points, driven by the Garvey acquisition, which was 50 basis points accretive to our adjusted gross margin this quarter. Let me point out a few highlights on our gross profit bridge. Second quarter gross profit increased $5.2 million compared with the prior year and was driven by several factors. The Garvey acquisition provided $4.5 million of gross profit and $9 million of revenue, equating to a 50% gross margin. Pricing net of material inflation added $4.4 million of gross profit, demonstrating our pricing power. Offsetting these items was foreign currency translation, which reduced gross profit by $4.1 million, reflecting the strong U.S. dollar compared to the euro. Moving to slide nine, our SG&A or our operating expenses were $52.5 million in the quarter or 22.7% of sales. This included $1.2 million of business realignment costs, as we advance our new commercial structure. Sequentially, operating expenses were lower than Q1 by $700,000 due to the benefits of our business realignment and FX translation. Compared to the prior year, our SG&A costs were higher by $1.3 million with the acquisition adding $1.2 million. We also incurred $900,000 of incremental business realignment costs related to our commercial reorganization. We invested an incremental $1.6 million in R&D costs and our annual merit increases became effective July 1st. Offsetting these increases were about $1 million in savings from the commercial realignment and foreign currency translation, which reduced our cost by $2.3 million. For the fiscal third quarter, we expect our SG&A expense to approximate $54 million. Turning to slide 10, we achieved record operating income in the quarter of $27.4 million and adjusted operating income of $28.6 million. Operating income benefited from the acquisition and our pricing power, which more than offset the negative impact of foreign currency translation that reduced operating income by $1.6 million. Adjusted operating margin was 12.4% of sales, 100 basis point increase over the prior year and up 130 basis points from the trailing quarter. We realized strong operating leverage in the quarter of 38.6%. As you can see on slide 11, we recorded GAAP earnings per diluted share for the quarter of $0.49. Our tax rate on a GAAP basis was 26% in the quarter. For the full year, the tax rate is expected to be between 29% and 31%, which reflects a 6 percentage point impact from the two discrete items that we discussed last quarter. Adjusted earnings per diluted share of $0.73 was down $0.01 from the prior year. Impacting EPS was higher interest expense, as well as FX losses and mark-to-market investment losses, which together impacted EPS by $0.10 per share year-over-year. Even though we are 60% hedged to interest rate exposure, interest expense is expected to increase to $7.2 million in the third quarter. FX and investment losses are also expected to continue in the third quarter as well. We estimate these combined headwinds will impact pretax earnings by $1 million. Weighted average diluted shares outstanding will approximate $29 million and our pro forma tax rate is 22% for calculating non-GAAP adjusted earnings per share. On slide 12, our adjusted EBITDA margin for the quarter was a record 16.8% and our trailing 12-month EBITDA margin increased to 15.6%. The Garvey acquisition was accretive to our adjusted EBITDA margin in the quarter by 80 basis points. Our trailing 12-month return on invested capital improved to 6.9%. We are making progress towards our targets of $1.5 billion in revenue with a 21% EBITDA margin as covered at our recent Investor Day. Moving to slide 13, we had positive free cash flow of $15 million in the second quarter. This includes cash inflows from operating activities of $17 million and CapEx of $2 million. We anticipate that our free cash flow will continue to build through the course of the fiscal year as we drive earnings and reduce working capital as a percent of sales back to the mid-teen levels. We now expect full year capital expenditures to be in a range of $12 million to $15 million, down from previous guidance due to the timing of projects. Turning to slide 14, we have a strong and flexible capital structure comprised of a term loan B, which requires $5.3 million of required principal payments annually and has an excess cash flow sweep depending on our total leverage. We paid down $20 million of debt year-to-date and expect to pay $40 million for the entire fiscal year. The term loan B is 60% hedged with interest rate swaps that blend to a swap rate of approximately 2.08%. As of September 30, on a pro forma basis, which includes Garvey’s LTM adjusted EBITDA, but excludes expected cost synergies, our net leverage ratio was 2.8 times. We are prioritizing debt repayment in the current environment. Finally, our liquidity, which includes our cash on hand and revolver availability, remained strong and was approximately $173 million at the end of September. Please advance to slide 15 and I will turn it back over to David.
David Wilson: Thanks, Greg. As I mentioned earlier, we are encouraged with the strength of quotation levels even as we saw orders decline in the period. Order activity ahead of our June price increase and extended customer project execution cycles were the primary drivers of the sequential decline. More specifically, trailing first quarter orders were elevated ahead of price increases in June by approximately $10 million, and although, we are still seeing healthy quote rates on projects, customers were slow to release orders toward the latter half of the quarter given delays they are experiencing with the execution of these projects. Our backlog remains elevated given the impact that supply chain delays are having on our product delivery, motors, drives and controls, as well as electrical components continue to constrain our ability to ship products more quickly. As I noted earlier, we are heavily focused on improving delivery and communications with our customers, and we continue to navigate supply chain constraints. Internally, we have simplified our structure and are improving the flow of information to enable more proactive communications with our customers. Please turn to slide 16. We expect revenue in our third quarter to be in the range of $225 million to $235 million based on current exchange rates. As I have noted, we are focusing on executing our plan and are ready to adapt as needed for macroeconomic conditions. We continue to invest in innovation, the vitality of our portfolio is increasing, our teams are driving collaboration across product categories and we are executing on initiatives to improve our customer’s experience. We believe we are improving our position in more secularly driven markets and are delivering solutions to our target markets that help end users scale automation and productivity. On slide 17, you can see our long-term goals. We are being very intentional in our strategy deployment process to advance towards our growth and profitability targets. We believe we are a better business than we were just two years ago with a stronger earnings profile, a better product and market mix and a streamlined team that is intensely focused on execution. Although the macroeconomic environment is somewhat unsettling, we are being deliberate in our actions to create value for our customers, execute our plans and deliver on our goals. With that, Operator, we can open up the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Matt Summerville with D.A. Davidson. Please proceed.
Will Jellison: Good morning. This is Will Jellison on for Matt today. I wanted to start out, Greg, by asking you a follow-up question regarding some of the supply chain issues that impacted volumes through the fiscal second quarter. Can you sort of place those into context relative to your experience, say, in the last year or so, and whether or not what you saw in fiscal second quarter was incrementally worse than what you have seen before or just a persistence of things that you have been doing with for a while now?
David Wilson: Yeah. So this really became an issue for us, Will, about a year ago, maybe a year and a quarter, and I think in the June quarter, we were experiencing roughly a $15 million impact. This past quarter -- actually in June was the $25 million, this quarter was about $26 million. So it’s about the same level and actually the March quarter of last year was the $15 million amount. So it’s about the same. There’s pockets where different suppliers are getting better, some are still being challenged. But net net, it’s still having an impact of about the same level as what we saw in the first fiscal quarter.
Greg Rustowicz: First quarter, which is slightly elevated of what we saw in the fourth quarter of last year.
David Wilson: Yes.
Will Jellison: Understood. Okay. Thank you. And then, on the elevated quote activity side, I was wondering, in your view that elevated core activity, where does that stand relative to Columbus’ experience in prior cycles where you would normally expect to be at this time of year in this time of environment? Is it better than you would expect about the same, I love some more color there?
David Wilson: Yeah. Sure. I think it’s better than what we would expect heading into a recession, in fact that’s what we are doing, but we don’t see any imminent signs of a recession. We do see strength in entertainment, utilities, steel and metals, oil and gas and mass transit. Also, the stronger secular markets like life sciences and electrical vehicles remain robust. So we are quoting more projects for F&B. Order rates are, I should say, quote rates are up year-over-year across our business. And so we are really encouraged with the strength of quoting, the engagement with our customers, they are messaging around opportunities and the challenge really has been in terms of converting orders in -- quotes into orders and the time that, that takes as our customers are really waiting on other pieces of equipment to be delivered that are associated with their longer cycle projects and then waited -- therefore, waiting to release orders to us at a time that is more consistent with when they want to cash flow their project according to the delays that they are seeing.
Will Jellison: That’s great. Thank you gentlemen for taking my question.
David Wilson: Thanks, Will.
Greg Rustowicz: Thanks, Will.
Operator: Our next question comes from Steve Ferazani with Sidoti. Please proceed.
Steve Ferazani: Good morning, everyone. I just wanted to follow up the last question in terms of you are seeing quotation rates up, did you give a sense on orders in October versus the previous quarter?
David Wilson: Yeah. No. We didn’t, Steve. But I can share with you that orders are up nicely sequentially versus prior quarter in the first three weeks, and although three weeks do not make a quarter. We are up about 10% sequentially quarter-over-quarter in total orders in the first three weeks of October and that split is roughly up 12% with our conveyor solutions, up 5% in our project orders and up in the low teens in our short cycle business.
Steve Ferazani: When I think about mix going forward and how much of the mix is now Downer in Garvey. What are you seeing in terms of growth trends that could impact gross margins in a slowing environment, which is to say, is the mix going to lead to some gross margin improvement even if the market in general slows?
David Wilson: Yeah. I mean I think given the growth rates that we anticipate our businesses would grow at our highest gross portions of the portfolio enjoy expanded gross margins over the rest of our portfolio. So we would expect that in a slowing environment overall with secular trends enabling further growth in those faster growing areas, we would anticipate that we have expanded margins in that an environment.
Greg Rustowicz: Yeah. So, Steve, just adding on to it and it’s our -- the gross margins in our precision conveyance business are in the mid-40s and so that is accretive to the overall gross margins for Columbus McKinnon legacy business.
Steve Ferazani: Great. Great. And if I can get one quick one in on cash flow. Saw a nice cash flow this quarter despite inventory still up. It seemed in the release, you said that inventories may have peaked despite the fact that we are still seeing significant supply chain constraints. Can you give a little color there and whether you would consider ramping up the debt reduction given the interest rate environment?
Greg Rustowicz: Yeah. So from an inventory perspective, our turns in the quarter were 3 times and we ended the March at 3.9 turns. So, clearly, we have taken on a lot of inventory in the first six months of the year from a cash flow perspective, as you mentioned, inventories are up $31 million when you exclude the impact of FX. So we have plans in place to bring our -- in total our working capital as a percent of sales back into the mid-teens. That’s going to require significantly improving our inventory turns. That process has already started. Our inventory levels crested in August and they have started to come down. It’s a -- as you can imagine, it’s not something that you can turn on a dime. It’s like turning a battleship. But we have got ample time left in the fiscal year to get inventories down substantially, get our turns up and generate more cash. And so you are right, we are in an elevated interest rate environment. Marginal interest rates for us now are 7% with our spread on our term loan. And even -- but I would remind folks on the phone, like I said in my prepared remarks, that we are 60% hedged and so that clearly is tamping down what our interest expense would be if we weren’t hedged. And so if we are able to generate more cash from a capital allocation perspective, we look at that on a regular basis with our Board. But we also are mindful that interest expense is elevated and if we -- as we generate more cash, absent an absolute perfect small bolt-on acquisition, our focus would be to try to use that cash to pay down more debt.
Steve Ferazani: Great. Thanks, David. Thanks, Greg.
David Wilson: Thank you.
Greg Rustowicz: Thanks, Steve.
Operator: Our next question comes from Jon Tanwanteng with CJS Securities. Please proceed.
Jon Tanwanteng: Hi. Good morning and thank you for taking my questions. I just wanted to go back to the stronger quotations and maybe weaker orders. Do you expect that gap to close or is maybe the risk of a lower conversion rate more likely as we go forward and in markets around the world start to deteriorate? How are you thinking about that in the coming quarters?
David Wilson: Yeah. We anticipate that it is going to close given what the level of quoting activity is in the order trends we have seen thus far in this quarter. But right now, just to give you an illustrative example, if typical conversion cycle between when a quota sent and an order is received is three months to six months in normal conditions. Customers today have component lead time changes on other pieces of equipment that they are waiting for and so if someone is waiting for a robot or if someone is waiting for engineered control panels, the automation elements of their solution from someone or they are waiting for packaging machines. Those lead times have been extended to being measured in months to being measured in over a year in some cases. And so what’s happening is where you would typically place in order for elements of our portfolio that have shorter lead times within three months to six months. Those lead times are now being extended based on those customers now waiting for other pieces of equipment. But we do expect those gaps to narrow. We think the supply chain is starting to ease certainly in specific areas and we are encouraged by not only in formation activities but the early Q3 order rates.
Jon Tanwanteng: Got it. And maybe just to build on that, what do you think is driving the strength in quotations, is it just because you are exposed to these less cyclical markets that you have been driving towards or is it more that maybe it pent-up demand or maybe just people trying to get ahead of price increases and an increase in cost of capital to finance these things?
David Wilson: Yeah. I think it is because we are playing in some pretty attractive markets that are seeing demand driven by macro drivers or megatrends. I also think that we have been benefiting from our commercial reorganization and the collaboration that our teams are driving in the markets where we are getting more opportunity within the same customer base, because we are able to cross-sell and represent a broader portfolio and so I feel like we are -- we were -- we are self-helping and we are benefiting from trends that are occurring in the marketplace.
Jon Tanwanteng: Great. And if I could sneak in one more, just directionally, how should we think of margins in the next quarter? Revenue at to down maybe, but you have done a good job with restructuring and then driving costs out and maybe there’s some inputs that might be coming down like freight and logistics. How should we think about that?
Greg Rustowicz: Yeah. So, good question. So, typically, what we see, Jon, in the third quarter relative to the second quarter is a 50-basis-point to 100-basis-point decline in gross margins and it’s largely due to fixed cost absorption in our factories. We do have four less shipping production days with the Christmas holidays and in the U.S. we have Thanksgiving as well as you know. So that would be typical 50 basis points to 100 basis points down if you look back in history.
Jon Tanwanteng: Okay. Great. And sorry, did you think is there anything different this year going into that calculation?
Greg Rustowicz: No. I would say we would expect a similar decline…
Jon Tanwanteng: Okay. Understood.
Greg Rustowicz: … in that range. Yeah.
Operator: Our next question comes from Patrick Baumann with JPMorgan. Please proceed.
Patrick Baumann: Hi. Good morning, everyone. Thanks for taking my questions and congrats on the strong execution in the quarter.
David Wilson: Hi, Pat.
Patrick Baumann: Yeah. No problem. Good morning. A quick question on just the end market demand profile that you are seeing, what would -- can you walk through key verticals and where you are seeing trends…
David Wilson: Yeah.
Patrick Baumann: … hold in versus where you are seeing trends maybe fade a little bit, if anywhere?
David Wilson: Right. Right. Okay. So, as we said earlier, overall quote activity is up versus prior year. Short cycle order demand is slowing a bit, but global project orders are taking longer to convert and that’s been a bit of a challenge in terms of converting to orders. The entertainment, utility, steel and metals markets have been robust. Oil and gas, obviously, experiencing some significant trend, good positive trends of activity in mass transit or our rail business is experiencing some nice upticks. As it relates to our newer business areas, we have got really nice trends in life sciences and electric vehicle activity. We mentioned the Garvey activity with the battery cells for electric vehicle battery production. We are also seeing really good quality leads for projects, albeit some smaller projects, which are really attractive in the food and beverage space. And then e-commerce shipments are off about $8.5 million year-over-year through the first half and that’s really related to a pause in demand from our largest e-commerce customer. But we do see those orders coming back online in fiscal 2024 based on the very close relationship we have with that customer and in that space. And what I would mention is that, although we have seen that decline, we have really made great inroads at gaining traction with a number of other attractive e-commerce accounts and that’s partially offsetting the decline and kudos to our team at Dorner for the great work they are doing in the industrial automation space, where they have been able to grow that portion of the business pretty readily to help offset the challenges introduced by the year-over-year decline we saw with that one customer.
Patrick Baumann: That’s helpful color. And so I would imagine that e-commerce business, that’s most of -- that explains the entire decline that you are seeing at Dorner, I guess, in terms of revenue and that’s being offset by some of the other stuff.
David Wilson: That’s right. That and some. Correct.
Patrick Baumann: Yeah. And then maybe, Greg, can you talk about the nuances of the inventory accounting that are impacting gross margins these days? I just -- I asked because I was looking at the LIFO reserve and they have gone up quite a bit so far this year. I am just not sure how to interpret that from the outside, maybe just give some CFO color on that?
Greg Rustowicz: Yeah. So the LIFO reserve, so we have LIFO in the U.S. and a number of our U.S. factories, Dorner and Garvey are not on LIFO. So this is legacy Columbus McKinnon. And the LIFO reserves are going to move with inventory levels and so as our inventory has become elevated, the LIFO reserve has gone up. But once again, as we expect to lower our inventory levels over the course of the balance of the fiscal year, the LIFO reserve should also go down. And really the calculation is…
Patrick Baumann: Okay.
Greg Rustowicz: … in terms of the LIFO reserve itself, it’s a -- you don’t really -- you don’t have the final calculation until the end of the year.
Patrick Baumann: And how has that impacted, if at all, like, the gross margin, like, are there -- is there LIFO liquidation impacts on profits at all?
Greg Rustowicz: Not in a material way, Pat. So the margins are really being driven by the pricing, the Garvey acquisition.
David Wilson: Yeah. I’d add the mix. So the mix of sales, the pricing actions we have taken, the work we are doing to address our cost structure and work our team is doing in the supply chain to help offset inflationary costs. So the LIFO reserve has a nonmaterial impact, if you will, in the margins for the period.
Patrick Baumann: Okay. Great. Thanks. Appreciate the color. Best of luck.
David Wilson: Yeah. Thank you, Pat.
Operator: [Operator Instructions] Our next question comes from Joseph DiMieri with Onex Credit. Please proceed.
Joseph DiMieri: Hi. My question is regarding more so of the competitive environment. Given that Crosby, Kito, distributes a large competitor in the space. How does that affect you guys, maybe if you could speak to market or product overlaps.
David Wilson: Right. So we completed before the announced acquisition with both Crosby and Kito with our product portfolio because we play both on the rigging side of the business where Crosby competes and in the lifting and voice side of the business where Kito competes. And so we were competing with them as separate companies in the past and we anticipate that we will be competing with them as they go-forward and come together. We feel like the competitive dynamics don’t change very much as it relates to them coming together as a single company. We feel that we have got a very competitive position with our channel partners and with the work that we do with our innovation strategy, with the new products we have been introducing and with our new regional focus as a leadership team, we feel there’s opportunities for us with our elevated focus on our customer experience and working to make sure that we are advancing competitively to -- we feel like we are well positioned to compete as that acquisition is completed.
Joseph DiMieri: Thank you.
David Wilson: You are welcome.
Operator: We have a question just queued up. We will take the questions come from Jon Tanwanteng. Please proceed.
Jon Tanwanteng: Hi, guys. Just following up on the topic of industry consolidation, can you comment on the acquisition of Altra today by Regal Rexnord that’s the company I think you have been trying to targeting your long-term objectives, just any thoughts there and maybe a validation of your strategy there?
David Wilson: Yeah. That’s exactly right, Jon. I don’t want to comment on the specific transaction. But I will say that it clearly validates the strategy that we have as a company and it underpins everything that we have been trying to do as a company and speaks to the value creation that we are driving and the opportunity for us as we think about that comparable landscape and how we are performing with our gross margins, our growth and our expanding EBITDA margins given the good work that our team has been doing and how that compares against that peer set that from a multiple perspective clearly enjoys a higher multiple. So we are excited about our strategy, we are executing well and we are marching towards our five-year targets of $1.5 billion in revenue and 21% EBITDA margins.
Jon Tanwanteng: And could you just remind us what you had built into the long-term targets in terms of the potential for a recession in the near future? Was there a specific, I guess, expectation of a decline or anything like that in that four-year, five-year period?
David Wilson: Yeah.
Greg Rustowicz: Yeah. Jon, so when we looked at back in the summer, obviously, things have changed quite a lot since then. It was clearly the view that if there was a recession, it would be mild, there would be a soft landing, and we would be able to recover very quickly.
David Wilson: Right. And at this stage, we are seeing nothing to indicate anything other than that, Jon, because we are seeing, as you saw this morning, GDP actually pivoting to a growth position and we are not seeing any signs of deteriorating demand in the conversations we are having with our customers.
Jon Tanwanteng: Great. Thank you so much.
Greg Rustowicz: You bet. Thank you.
Operator: Thank you. At this time, I would like to turn the call back over to Mr. Wilson for closing comments.
David Wilson: Thank you again for joining us today. We are demonstrating our ability to execute our plan while operating in an unsettled environment. CMCO provides the playbook to drive results through all market conditions and we believe that we have the team in place to deliver. We are driving continuous improvement, both strategically and operationally and are excited about our future. We have the plans, the people and the capabilities to enable scale, strengthen our earnings power and create intelligent motion solutions that move the world forward and improve lives. Thank you for your time this morning and have a great day.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time and thank you for your participation and have a great day.